Operator: Welcome to the Avago Technologies Limited First Quarter Fiscal Year 2015 Financial Results Conference Call. At this time, for opening remarks and introductions, I would like to turn the call over to Ashish Saran, Director of Investor Relations. Please go ahead, sir.
Ashish Saran: Thank you, operator, and good afternoon, everyone. Joining me today are Hock Tan, President and CEO; and Tony Maslowski, Chief Financial Officer of Avago Technologies. After the market closed today, Avago distributed a press release and financial tables describing our financial performance for the first quarter fiscal year 2015. If you did not receive a copy, you may obtain the information from the Investors section of Avago’s website at www.avagotech.com. This conference call is being webcast live and a recording will be available via telephone playback for one week. It will also be archived in the Investors section of our website at avagotech.com. During the prepared comments section of this call, Hock and Tony will be providing details of our first quarter fiscal year 2015 results, background to our second quarter fiscal year 2015 outlook and some commentary regarding the business environment. We will take questions after the end of our prepared comments. In addition to U.S. GAAP reporting, Avago reports certain financial measures on a non-GAAP basis. A reconciliation between GAAP and non-GAAP measures is included in the tables attached to today’s press release. Comments made during today’s call will primarily refer to our non-GAAP financial results. Please refer to our press release today and our recent filings with the SEC for information on the specific risk factors that could cause our actual results to differ materially from the forward-looking statements made on this call. At this time, I would like to turn the call over to Hock Tan. Hock?
Hock Tan: Thank you, Ashish. Good afternoon, everyone. Now I see all are aware today we announced the Acquisition of Emulex Corporation. Emulex is very complementary to Avago’s enterprise storage businesses, and aligns very well with the Avago business model. It is a leading supplier of fiber channel and related products selling primarily into server and enterprise storage OEMs that Avago currently serves with our SAS rate and PCI Express switching and fiber optics products. We expect this transaction to allow us to offer one of the broadest suites of silicon and software storage solutions to the enterprise and data center markets. Now I would turn on to more mundane matters related to our recent business performance. And Tony will provide a summary of our first quarter fiscal year 2015 financial results. Revenue for our first quarter was $1.66 billion, an increase of 3% from the prior quarter. In particular, wireless growth was much better than expectations with revenue growing sequentially versus the flat to slightly down outlook we had provided during our fourth quarter earnings call. Wired and enterprise storage held up well but industrial did show seasonal declines. Now turning to a discussion of our segments, starting with wireless. In the first quarter, as noted, revenue from our wireless segment grew 6% sequentially. Wireless represented 40% of our total revenue from continuing operations. And compared to the last quarter last year wireless revenue grew 90%. Within the quarter, we saw stronger than expected demand from our large North American Smartphone OEM, which shall remain nameless, and by which enable us to achieve another quarter of record wireless revenue. Given these levels of growth, coupled with our expectation for additional FBAR filter content in upcoming Smartphone generations, we expect to remain capacity constrained through the balance of this year even as we continue to grow our FBAR capacity over the next 12 months. As you know, we have expanded our Fort Collins fab capacity multiple fold over the past few years but demand has continued to exceed expectations. Turning to second quarter of fiscal ‘15, similar to prior years, we expect a sharp seasonal some even call it product lifecycle related decline and demand from our large North American Smartphone OEM. However, this decline is expected to be partially offset by product ramp and another large handset OEM where our designs have resulted in substantial RF content. Nonetheless, we do expect wireless revenue to decline sequentially somewhat in the low-teens. Year-over-year however, we expect to maintain our trajectory of strong growth in this business with second quarter revenue projected to grow over 65% from the same quarter last year. Our strategy and capability to offer highly integrated RF front-end solutions incorporating very high performance above filters has been a key driver of our success. Moving on to enterprise storage. In the first quarter, enterprise storage revenue came in as expected growing about 5% sequentially driven by strength in enterprise and data center spend. Enterprise storage represented 29% of our total revenues from continuing operations. In HDD - in hard-disk drive, revenues grew by mid-single-digit sequentially. In server and storage connectivity, we also had a good first quarter, with revenue growing in the mid-single-digit sequentially. This growth was driven by the start of the granularly-based server refresh cycle as well as a strong attach rate for our 12 gigabit SAS and rate solutions. Looking forward to the second quarter, in server and storage connectivity, we expect strong growth from increasing adoption of our PCI Express switches and sustain SAS and rate shipments. While we expect to see seasonal decline in hard-disk drives, our custom flash controller business in NAND have been ramping. Putting these factors together, we expect low single-digit sequential revenue growth for our enterprise storage segment. On to wired infrastructure and enterprise segment. Our wired segment performed somewhat below expectations in first quarter, revenue declining by 1% sequentially. Wired revenue now represents 21% of our total revenue from continuing operations. ASIC revenue was up slightly on a sequential basis with strong growth in Ethernet switching, thanks to our various OEM customers, partially offset by declines in carrier routing and high performance computing. As expected, our fiber optics business declined from that of the prior quarter. We saw a growth in power optics shipments into carrier routing more than offset by expected declines from our Ethernet and standard Ethernet transceiver products, especially 40 gigabit, which took a pause after a strong fourth quarter. However, the second quarter of fiscal ‘15 in this segment is looking very different. We expect growth in both our ASIC businesses and our fiber optics business. In our ASIC business, we actually expect very strong growth from enterprise switching and routing as well as in storage. In fiber optics, we’re expecting more moderate growth in 40G shipments driven by increase in demand from the hyper scale data center market. And we are also continuing to see strength in fiber optics demand from fiber to the home and LTE base stations especially in China. As a result, we expect at least mid-single-digit sequential growth for our wired segment. And finally, moving to industrial, in the first quarter, our industrial segment performed below expectations with revenue declining by 4% sequentially. Industrial represented about 10% of our total revenues from continuing operations. Re-sales in this segment declined sequentially in this very seasonally weak quarter, with broad declines across all regions except Asia which remained stable from that of the prior quarter. As you know, we recognized revenue on shipping - to our shipping bases to our distributors. And during this period our industrial product revenues that is shipped into our distributors also declined at a consistent rate to industrial resale as we maintain very tight inventory in the channel less than two-month’s net inventory. Looking in the second quarter of fiscal 2015, we expect sequential recovery in our industrial segment. In particular, we’re seeing strength in North America and Europe, reflecting this recovery and the need to replenish and the need and demand I would add by distributors to replenish the very low levels of inventory at these distributors, we expect to see sequential revenue growth in the mid-teens for our industrial business. With this, let me summarize. I’m pleased to report that we had a very strong start to fiscal ‘15 with 3% sequential revenue growth in the first quarter due to strong quarter in wireless, good growth in enterprise storage despite flattish wired infrastructure demand and a decline in industrial. Turning to second fiscal quarter, as in past years as you may know, we have only seen sharp second quarter sequential declines in our wireless business due to seasonal product cycles in the handset markets. This is no different, and we are expecting our wireless revenue to be down in the low teens from the prior quarter. However, what is different this year is we expect it to offset most of the wireless decline with strength from our three other segments, wired up mid-single-digits, enterprise storage up low to mid-single-digits, industrial up in the mid-teens. And as a result, we expect our second quarter consolidated revenues to be roughly flat from that of the prior quarter. With that, let me now turn the call over to Tony for a more detailed review on first quarter fiscal 2015 results.
Tony Maslowski: Thank you, Hock, and good afternoon everyone. Before reviewing first quarter fiscal year 2015 financial results, I want to remind you that my comments today will focus primarily on our non-GAAP results from continuing operations unless otherwise specifically noted. A reconciliation of our GAAP and non-GAAP data is included in the earnings release issued today and is also available on our website at www.avagotech.com. Revenue of $1.66 billion in the first quarter represents an increase of 3% from the prior quarter. Revenue from our wireless segment came in better than our expectations. The enterprise storage segment performed as expected, and we saw weaker than expected revenue from the wired and the industrial and other segments. Foxconn was a greater than 10% customer in the first fiscal quarter. Our first quarter gross margin from continuing operations was 59%, which was just above our guidance range of 56.5% to 58.5%, primarily due to better revenue mix and higher manufacturing yields. Turning to operating expenses, R&D expenses were $210 million and SG&A expenses were $83 million, driving total operating expenses for the first quarter to $293 million, $8 million below guidance, primarily because of the lower than anticipated spending on certain R&D engineering materials. Due to capacity constraints, some materials initially intended for R&D projects were instead used to build products for customer shipments. And we expect this to continue in the second quarter. As a percentage of sales, R&D was 13% and SG&A was 5% of net revenue. Operating income from continuing operations for the quarter was $681 million and represented 41% of net revenue. Taxes came in at $35 million for the first quarter, slightly below our guidance given a quarter ago. This was primarily due to a change in the jurisdictional mix of income and the retroactive reinstatement in the quarter of the U.S. Federal Research and Development tax credit. First quarter net income was $596 million and earnings per diluted share were $2.09. First quarter interest expense was $54 million. Other income net was $4 million. Our share based compensation in the first quarter was $49 million. The breakdown of the expense for the first quarter includes $6 million in cost of goods sold, $19 million in R&D and $24 million in SG&A. In the second quarter fiscal 2015, we anticipate share based compensation to be approximately $52 million. Our annual equity grant will typically occur in the second fiscal quarter of the year. Starting this fiscal year, we’re switching to a solely RSU-based equity award program, instead of a combination of option and RSU awards. Just as a reminder, our definition of non-GAAP net income excludes share based compensation expense. Moving on to the balance sheet, our day sales outstanding were 39 days, an improvement from the prior quarter’s 42 days. Our inventory ended at $500 million. Days on hand were 67 days, which decreased 3 days from the fourth quarter as we reduced inventory which we had built up in prior quarters to support the strong growth in our wireless segment. We ended the quarter with a cash balance of $2.6 billion and we generated $481 million in operational cash flow. Our first quarter is also when we pay our annual bonuses relating to the prior fiscal year. In the first quarter, we spent $162 million on capital expenditures. On November 18 2014, in our first fiscal quarter of 2015, we closed the sale of the Axxia business and received approximately $650 million in cash. On December 31, 2014, we paid a quarterly cash dividend of $0.35 per ordinary share, which consumed $89 million of cash. This dividend was raised by $0.03 from the prior quarter. Since the inception of our dividend program in second quarter of 2011 to date, our financial performance has allowed us to increase our dividend each quarter. As a reminder, our board reviews and determines our dividend policy on a quarterly basis. Based on our financial performance and condition, the contractual provisions related to our outstanding indebtedness and other factors deemed relevant by our board. During the quarter, we did not repurchase any shares. In the second quarter of 2015, we anticipate paying approximately $600 million towards reducing our outstanding term-loan which will reduce our annual interest expense by about $22 million based on current interest rates. In addition, as we announced today, we expect to invest approximately $600 million for the Acquisition of Emulex Corporation. And we currently expect this transaction to close in the second half of our fiscal 2015. We expect this acquisition to be immediately accretive to earnings per share on a non-GAAP basis. We plan to align Emulex with Avago’s business model over the course of our fiscal year 2016 and once aligned, we expect Emulex businesses to contribute approximately $250 million to $300 million in annual net revenue with improved operating margins. Now let me turn to our non-GAAP guidance for second quarter of fiscal year 2015. This guidance reflects our current assessment of business condition and we do not intend to update this guidance. This guidance is for results from continuing operations only. Net revenue is expected to be in the range of down 3% to up 1% from the first quarter. Gross margin is expected to be 58.5%, plus or minus one percentage point. Operating expenses are estimated be approximately $294 million. Taxes are forecasted to be approximately $37 million. Net interest expense and other is expected to be approximately $49 million, which anticipates paying approximately $600 million towards the reducing of our outstanding term loan within the quarter. And finally, the diluted share count forecast is for 289 million shares. That concludes my prepared remarks. Operator, please open up the call for questions. Question-and-Answer Session Operator [Operator Instructions]. Your first question comes from the line of John Pitzer of Credit Suisse. Please proceed.
John Pitzer: Yes, good afternoon, guys. Congratulations on the strong results. Hock, I guess, my first question is around FBAR capacity and CapEx. CapEx in the January quarter was down sequentially, a little bit lower than I would have thought. Are you guys still on target for sort of that $600 million for the year and by how much do you think that that will increase your FBAR capacity and how do we think about linearity of that spend?
Hock Tan: Why don’t I let Tony take that on, especially on your CapEx?
Tony Maslowski: So, we’re still on track for full-year $600 million. We had probably about $15 million to $20 million that were right on the edge of the quarter that could have gone either way. And that’s why we guided to the new number for Q2. And then, as we said before, we believe that FBAR capacity will increase significantly this year.
Hock Tan: By the end or to be more precise, by the middle of next year, we expect our FBAR capacity to be double what it is currently.
John Pitzer: Hock, that’s very helpful. And then, I guess, maybe sticking on FBAR as a follow-up, so the North American customer comes down in the April quarter but that’s offset by content growth at another customer. I’m kind of curious if you can give us Hock, an update on what you’re seeing relative to FBAR content in the China market specifically and how you think that might trend over time?
Hock Tan: Well, it’s never a monotonic increase in capacity, but then it’s a question that always we think about real hard. But it’s just that as more and more phones become multiple band enabled, where you can roam multiple locations. And now, if you ask specific, that’s broadly worldwide. But if you ask specifically China, there are multiple categories of those phones in China, even if they are Smartphone. They are those unique to China. And for those phones that are smartphones that are unique to China, obviously the Chinese LTE bands, by the way, are very much bands that do use a very what I call friendly to FBAR usage. And couple that with the tendency to make them Wi-Fi enable and then you basically increase the number of bands requiring FBAR in those phones. So to answer your question, the Chinese phones tend to be very FBAR friendly. Now it’s not always that way because there are ways they can do to curtail performance and therefore substitute FBAR for, perhaps, lower performing SAW filters. And they do, do that, and there’s a mix of that going on right now, particularly with the capacity constraint. But over the long term, from phones that are basically multi-band three-mode phones, going to five-mode phones, as they call them in China, you just need a fairly significant increase in FBAR content.
John Pitzer: Very helpful. Thanks, Hock, and congratulations again.
Hock Tan: Thank you.
Operator: Your next question comes from the line of Vivek Arya of Bank of America Merrill Lynch. Please proceed.
Vivek Arya: Thanks for taking my question. And, Hock, you once again managed to surprise us with your acquisitions. Now if I look at consensus estimates for Emulex, it shows around $400 million of revenues, at around $40-ish million of net income. But I believe, Tony, you said about $250 million to $300 million of revenue, so I just wanted to get some clarification around those numbers.
Hock Tan: Sure. So basically we’ll still go through the same process where certain parts of the business work closely. And what we believe is that it’s going to be closer to that as the exit of 2016. So, we believe that’s the revenue that we can keep long-term. And as you can tell, what that number and then we improve some of the operating margin, it’s definitely accretive to future numbers.
Vivek Arya: Got it. And as my follow-up, Hock, you mentioned additional FBAR content in Next Generation phones with your flagship customers. Is that due to additional bands or are just traditional filters being replaced by FBAR? I’m just trying to understand, is overall RF content going up in these flagship phones or are you gaining more share?
Hock Tan: No, it’s architecture. It’s really related to RF architecture and it’s an RF architecture that pushes a lot and allows a lot more bands to be crammed into very limited space in smartphones to be able to handle multiple, multiple bands for world-roaming phones. And it’s putting them all into modules, front-end modules which both includes power amplifiers and FBAR filters. So, it’s really architectural related and ability to contain many more bands within the same limited constraint space.
Vivek Arya: Got it. Thank you.
Operator: Your next question comes from the line of Ross Seymore of Deutsche Bank. Please proceed.
Unidentified Analyst: Hi, this is Gihan [ph] calling in for Ross Seymore. Hock, I was wondering, if you can discuss and give a little bit more color on some of the strategic drivers behind the Emulex Acquisition?
Hock Tan: Sure. But I really don’t have much at this stage to add on than what I provided in my opening remarks which is, we believe fiber channel is an interest and fiber channel over Ethernet as well, that includes then. It’s a very interesting obviously connectivity protocol. And we are very big in enterprise storage as you know, particularly after our integration - acquisition integration of LSI. So we do have SAS as I said, we do have a setter and PCI Express with PLX acquisition and the need for high density port solution on data center connectivity. So we come across fiber channel very often adjacent to the sockets, adjacent to the systems and chips that we provide to those same OEM customers in enterprise and data centers. So it’s a very logical and strategic next step for us to add fiber channel and fiber channel over Ethernet into our suite of component solutions and software.
Unidentified Analyst: Thank you. And in the quarter, the wired business was down a little bit more than you had expected. Given the performance of one of your customers Nexus 9000 products, we would have thought it would have come in a little bit higher. Can you discuss the growth that we should think about for the year in the wired business?
Hock Tan: Well, it’s probably more where the quarter cuts over and the timing of shipments and all that. And by the way we’re not really down more than we expect. We’re down 1% overall. And I call that flattish more than down. And you’re right, it didn’t grow as much. But since we are making up for it, in this current Q2 quarter where we expect to see high single-digit growth in our ASIC shipments to our various Enterprise networking customers.
Ashish Saran: Can we have the next question please?
Operator: Thank you. And the next question comes from the line of Craig Hettenbach of Morgan Stanley. Please proceed.
Craig Hettenbach: Yes, thanks. And a follow-up question on Emulex. As you get that portfolio to where you see the business, the run rate exiting 2016, can you provide a sense of just how longer term, what the growth outlook could be for that? And then second, just kind of within Emulex, just your approach having gone to LSI, just some background there.
Hock Tan: Well, we see that this fiber channel business is really a fairly - a very sustainable stable business. We see that long term, well, medium term let me phrase that, in the mid-single-digit growth. It’s a kind of business where we see a lot of barriers to entry, obviously. And we see a very unique technology which is very hard to replicate because of all the criteria that fits our business model. And we basically see a necessity to focus on the strength of this business, fiber channel fiber channel over Ethernet. And all that ties together for a kind of business and particularly coupled with the fact that this Emulex sells to the same kind of the enterprise OEM customers that we currently sell, with our server storage connectivity solutions. And so, all that ties together to make sure it’s a very natural extension to our enterprise storage business. And we see that, our model is mid-single digit growth annually, and improving profitability as we manage this the way we manage the rest of our businesses as Tony indicated.
Craig Hettenbach: Got it. And if I could follow-up on the ASIC business, if I go back to the Analyst Day a couple of years ago, you had talked about gaining share. Since that time you even added LSI. So, can you talk about where you stand in terms of some of the expected share gains you expect in ASIC and then also the visibility to which typically tends to be a little longer term in that market?
Hock Tan: ASIC, I never think of ASIC in terms of market share. Fortunately I just think, ASIC, we pick and choose our ASIC customers very carefully. And we support those customers simply because we have very unique technology and very expensive technology in some ways. And in ASIC as you know, the business is tough to scale, unlike standard or ASSB products. So, our business strategy in ASIC is very strong IP and we basically are rather selective about the customers, usually OEM customers and not necessarily OEM customers, we do support certain specific data center customers too, but very selectively. And we tend to only select those where we believe we have opportunity to grow our business very well with the particular customer we support ASIC with. And to answer your question, in the last three years, we have been very successful. And in integrating in the LSI ASIC business to Avago Classic, which is ASIC business before the acquisition has combined to provide a business that’s pretty, that’s doing very well in the sense that it’s roughly $700 million to $800 million. And it has financial criteria that, meets what we need that what we need to keep reinvesting. And generating really state-of-the-art technology in terms of process libraries, in terms of the bad service in a marketplace and the most robust set of IP in memories and processing. So, it’s a business model, we believe has been very, very successful. And we’d like to see the same with, by the way our storage portfolio.
Craig Hettenbach: Got it. Thanks for that Hock.
Operator: Your next question comes from the line of Jim Covello with Goldman Sachs. Please proceed.
Jim Covello: Congratulations on the excellent results. Maybe first picking on the Emulex theme, obviously there’s been a pretty intense competitive environment over the years with QLogic in that space. When you think about that mid-single-digit revenue growth you’re targeting, how much are you factoring in additional incremental competition and balance that against some of the incremental capability that you can add in filters or other things into that market?
Hock Tan: We do balance both in, and we believe by the way that the market is relatively stable, maybe you call the word bottom-out, but I call it stable. And what brings in a lot of stability to the market is Jim, as you probably may know is fiber channel over Ethernet as well, which sort of counteracts some perhaps slight declines in certain situations like Unix-based servers. But overall we think it is there. And we believe we can bring in certain capabilities, certain features and performance that would enable us to grow this not much but we believe in the mid to low single-digits. That’s pretty much where - what all we’re looking for. And for us to be able to do that and focus on it totally, would also enable us to create operating margins, operating returns on our investment and operating margin as Tony indicated, close to the range of what we are used to for the rest of our businesses. And it won’t happen over time, probably take a year.
Jim Covello: Sure, sure. And for the follow-up, you mentioned the 90% year-over-year growth in wireless. Can you help us disaggregate that between unit growth in the market and then against new customer wins and then that architectural dynamic that you talked about driving incremental growth with existing customers? So can we disaggregate it between market unit growth, Avago customer wins and then the third bucket being that architectural dynamic driving increased content? How would you break that 90% down?
Hock Tan: Well, Jim, you just answered your own question, impossible because we are comparing apples and oranges. There is definitely a change in architectural content. And as we go into new architecture of integrating into front-end modules, multiple bands of power amplifiers and filters in one module, you can compare it to a module that used to have two bands to one that now has nine bands. And so the content increases, the dollar gets priced differently. It was, I’m not trying to evade your question but I don’t have an answer for you except to say that it’s very different. And the market is evolving, is evolving into it’s an architecture, especially where high-end smartphones, which is where a lot of our applications, a lot of our products go into - to be honest, into high-end phones. Those high-end phones can afford the rather high performance very space constrained architectures that our solutions, RF solutions provide. In low-end smartphones, and some of them like Tri-mode phones in China, where there’s only a limited number of bands needed. They can probably make do with discreet filters and power amplifiers. And they do. And we don’t really compete much in those areas. We tend to compete it towards the new architectural phones. So year-on-year that’s been a distinct change.
Jim Covello: Sure; that’s very helpful. Thank you and congratulations again.
Hock Tan: Thank you.
Operator: Your next question comes from the line of Edward Snyder of Charter Equity Research. Please proceed.
Carlos Renegachie: This is Carlos Renegachie [ph] for Ed. One for Tony, there has been several comments over the last few quarters about your filter fab running full, but you’ve also said that CapEx or expanded more capacity pays for itself well within a year. So given the rate of spending that you guys have had all through 2014, is it safe to assume that the capacity of your FBAR fab was materially higher at the end of 2014 than at the beginning?
Tony Maslowski: Yes, that’s correct. And as Hock mentioned, we’re going to go through another doubling here some time in ‘16 - mid ‘16 or so. So no, we still believe in ‘16, we still firmly believe that the CapEx spending in FBAR is wildly justified. And again, we’re still very, with a cautious to eye to say that we only build what we need to build. So, yes, this last year has been probably earmarked with kind of a 100%. And the current year is probably also as we’ve mentioned, capacity constrained as well. So, not much of the dynamics have changed significantly there.
Carlos Renegachie: And then as a follow-up and along those same lines, about mid last year, you guys directed a lot of your capacity to your largest customers. Do you feel like you got enough headroom in FBAR to take back or expand your share of bar filter demand outside of your largest customer this quarter?
Hock Tan: I guess, the best way to answer your question is the honest way which is, we’re very much on allocation of our FBAR capacity today. And we’ve been that way now for the last several months. And we expect to be that way for the next several months.
Carlos Renegachie: Thanks, guys.
Operator: Your next question comes from the line of Doug Freedman of RBC Capital Markets. Please proceed.
Doug Freedman: Great, thanks for taking my questions and congratulations on the strong results. I’m going to ask an FBAR question as well and then I’ll follow-up with a NAND question. On the FBAR, since you’re doubling your capacity, if I look at your revenue run rate and you’re continuing to run that capacity full, we could be looking at well north of $1 billion in a single quarter for your FBAR business. That business does appear to run at above average corporate margins. Would you like to offer whether there’s something wrong in the math that I’m running and whether we should be thinking of a new peak gross margin number for your model next year?
Tony Maslowski: That’s a lot of things you’re throwing into same mix. Number one, $1 billion a quarter sounds fairly extreme and the reason is simply, this could be, first, we’re nowhere close to $1 billion a quarter here as you know. I mean, 40% of our revenues right now is not quite there yet but I know what you mean by doubling of it. It may be one quarter but it’s not the whole year. So, I just want to make that point. You could get there in one quarter and at the right point at the peak season. But it won’t sustain because of the seasonality of product lifecycles of the players in it. So, that’s - I hope that answers your question. In terms of gross margin, sure, we have never made any bones about whether that that has been a ceiling to our gross margin. All we have said is we don’t know where it is, but over time as our product mix and our business became more and more efficient and our product mix hit the right spot, hit the sweet spot of certain markets. And, sure, we do see continuing improvement or expansion of gross margin, and you see that last quarter. And you’ll probably see that again in our guidance this quarter. And it’s all related to product mix.
Doug Freedman: Absolutely, no, the numbers have been fabulous.
Tony Maslowski: Thank you.
Doug Freedman: The one thing I see investors have some questions regarding if the business that you sold off that services the NAND controller market versus your commentary on your introductory remarks that you have a custom NAND controller. Can you may be clear up a little bit or clarify what it is that you sold versus what pieces of the business you continue to invest in?
Hock Tan: Yes of course. Whether you pick up the little thing, but it is a fair question. Yes, we sold off our, we sold our business as well as intellectual property and capability in developing standard flash controllers for solid state drives and we did that. And we sold it off, and we do not have any standard flash controller capability of nor products nor revenues right now in our product portfolio, we sold it all off, happily too because we believe we are not prepared to keep investing into display which we believe could get very competitive. Having said that we do retain, some intellectual property and capability within our hard disk-drive division - operating division when similar capabilities exist in terms of designs understanding how to develop flash controllers for custom flash controllers. And we do that for very selected customers sort of in a form of ASIC flash controllers for enterprise market specifically on low volume on specific customers. And we continue to do that because that part of the business retains behind reverse. And we have the capability inherent within our hard disk-drive division, our SOC division. And if it makes money, we’d be happy to do it. But it is really, it’s really not the standard flash business, very different from the standard flash business which we sold off.
Doug Freedman: Great. Congratulations again.
Hock Tan: Okay.
Operator: Thank you. And your next question comes from the line of Harlan Sur of JPMorgan. Please go ahead.
Harlan Sur: Congratulations on a solid quarter. On the wired business, the team has been benefiting from the transition to 40 gig in the data center; however, with these new initiatives starting in the second half of this year around 25 gig and 50 gig, does this end up being another growth driver for you guys for both the ASIC and for your fiber optics business?
Hock Tan: Yes. I don’t know about whether it can be a new growth driver but certainly a lot of demand for programs for us to look at develop, so these that will - and from service developing switching, fabric that dries 25 gig, and even 50 gigabit. We’re by the way, we are I think one of the very few guys today with silicon, working silicon that can drive what I call 56 gigabit PEM4. I got to put in that little bit of propaganda and let you guys know that. And that drive the 50 gigabit standard that is now being promulgated through IEEE. So, this, obviously offers us opportunities given our capabilities in these specific areas, yes.
Harlan Sur: Thanks for that, Hock. And then on the enterprise storage, with the 12 gig SAS rate controllers and storage connectivity product segments, can you just kind of help us understand where we are in that upgrade cycle? Is this a tailwind for enterprise storage for the next 12 months or longer and just kind of more of the near-term strength coming from HPC or hyper scale or traditional enterprise or all of the above?
Hock Tan: A lot of it is coming from combination. Then, as you know, as you’ve been hearing there is a momentum in enterprise spending and data center build-out and spending and going on. And as that happens. We couple that, we then launch of Intel Brantley that supports 12 gigabit from the previous generation 6 gigabit. So, yes, there is a tailwind as we go to that refresh cycle as it always happens would be the case and in this case, in service enterprise driving server storage connectivity. So, we’re benefiting from that. And that’s partly why you see our business growing sort of mid-single-digit sequentially so far in the last couple of quarters or son. It’s helped by this push that launch late last year.
Harlan Sur: Great.
Hock Tan: That doesn’t - that won’t sustain forever, but so far so good.
Harlan Sur: Thanks, Hock.
Operator: You next question comes from the line of Steven Chin of UBS, please proceed.
Steven Chin: Great; thanks for taking my questions, another question on the networking business, if I can. For your ASIC, I was wondering if some of the recent I guess, M&A going on in the foundry/ASIC world, if that is benefiting you at all or not in terms of new conversations with potentially more ASIC customers? And also related to that, can you talk a little bit about how the BiDi optics at one of your customers, how that demand is proceeding so far?
Hock Tan: Okay, let me answer the first one. On the BiDi thing, I hate to say because it’s exclusive to a particular customer. And I don’t really want to comment on it, I’m sorry about that. I hope you don’t mind. But because it’s exclusive to a particular customer, I prefer not to comment on it. Now coming back to the ASIC consolidation, I don’t really see that much of it on our side. And part of the reason for it is, as I say in ASIC we’re not out there looking for market share. We have very unique capabilities in the sense of we are very low power, we are very leading edge process technology to working with TSMC, but we’re very, very robust serializer, deserializer, very strong robust IP in memories, as well as processing. A lot of that not just from Avago Classic but with LSI combined reverse and greater relationships with selected lease of OEMs. And who are somewhat winners in so far, in the enterprise networking business so, as they grow, we grow along with them and as I mentioned upon the remarked earlier. So, as a particular customer announced a gain in share, we do see benefit of that. Having said that sometimes we’re also supporting another customer who doesn’t so they cannot balance themselves somewhat but because of our unique technology and our unique business model of trying to select various - be very selective of the customers we support, with tends to lend itself to very large successful OEMs. We do not see that much all these M&A activity you’re referring to down at the ASIC business.
Steven Chin: Okay, that’s helpful. Thanks, Hock. And just as a follow-up in terms of, again, the wired infrastructure business, looking a little further out beyond the current, at least mid-single-digit sequential growth that you’re guiding for in Q2, I guess what kind of visibility do you have into later in the fiscal year in terms of this demand for your ASIC business, whether it’s sureties or other products related to network? Thanks.
Hock Tan: Visibly it tends to be good for one to two quarters, that’s it. And that’s probably the lead time on our products what we demand for our products and supply chain to support those customers. One to one half quarters, that’s as far as we go. Beyond that, no, we don’t really have that great visibility.
Steven Chin: Great, thank you. And congrats on the strong results.
Hock Tan: Thank you.
Operator: Your next question comes from the line of Steve Smigie of Raymond James. Please proceed.
Steve Smigie: Great; thanks a lot for the opportunity. Was hoping you guys could talk a little bit about the opportunity you see in the optical business this year? What sort of headwinds and tailwinds do you see off that business over the course of the year?
Hock Tan: What?
Tony Maslowski: The optical business.
Hock Tan: The hyper optics business, the transceiver business you’re referring?
Steve Smigie: Correct.
Hock Tan: Well, it’s a mixed bag. See, we are now we participate a lot in the data com, short reach data com. And that’s nicely chugging along. There is price competition to be honest about it. But we try not to play as I’ve said many times before in the standard fiber optics, lower bandwidth products, we tend to go up very fast. We’re now doing 40 gig, our sweet spot is pushing 40 gig including the BiDi that someone referred to earlier, which is 2 by 20 form of, unique form of 40 gig. And that standard 40 gig and we’re pushing now 100 gig. And we’re working on previous form of 100 gig and going even beyond 100 gig for our core outing. That’s where our strength is, so I’m really not a very good indicator of the broader fiber optics market. But in terms of data com our strength is up towards the high bandwidth. On the lower bandwidth I can like 1 gigabit, 10 gigabit, and then for on some of the storage products like 8 gigabit and 16 gigabit, 16, is not so bad. You can mention anything below that it’s a priced it’s a very priced competitive environment. And we try to not be too engaged in it. I wouldn’t say we’re not. We can be because we have to support many of our OEM customers even though our share is very low. We’re now looking at - and our focus is really on higher end whether it’s proprietary or not so proprietary, very high bandwidth data com. And that’s growing very well. As in data centers especially, the larger data centers are pushing from 40 gig to in some cases leap-frogging 40 gig to go to 100 gig. And of course somebody indicated 25 gig and 50 gig to provide additional opportunities. And when you start talking about 25, you’re talking about having to drive short-reach or even longer reach native 25, which makes it very tough to produce laser, VCSELs, laser, so to speak, that does 25 gigabit. We are one of the few guys who can do it. And we happily sold it to guys who do 100 gigabit Infiniband today. We are the supplier of the VCSELs for instance. So that was, is one part of it. Our other strength in telecoms is we don’t do that much transceivers in long reach telecoms, except medium reach, few kilometers, in data centers. Other than that for transport, we don’t do much at all. We do provide local year-end transceivers but we do it at a component level. We’re kind of like an arms dealer, and we do that very well. And for instance, we also do component level to fiber to the home in China. And that one we can provide enough products for the market, or not for the matter for LTE supporting base station fiber optics. We can provide enough of those components to those particular markets. That one, we have a pretty full set too.
Steve Smigie: Great; thanks for that color. And just as a follow-up, turning to the wireless market. You guys obviously have a lot of confidence in your business by ramping the CapEx pretty significantly there. I was hoping you could talk about this in the context of maybe four or five-year type range. Obviously, some of the great strength here has been driven by the move to LTE, or to serve LTE advanced. But it seems like, say 5G doesn’t come for maybe till 2018 or 2020, so how do you keep in line adding capacity versus you’ve got a lot of LTE switching over the next couple years versus the length of time before 5G starts to come in?
Hock Tan: Correct. 4G will be reversed for while LTE would be reversed as well as you know because Europe has barely begun to spend any big money. And now they are starting to U.S. already spending money and we’re in the midst of China, so it’s all good, not to mention the emerging countries. But to answer your question more directly, kind of hate to disappoint you but our CapEx plan, we tend to build and I mentioned that many times before, a year ago or two years ago, so maybe a time to refresh that. But we tend to like demand in our capacity builds. We basically didn’t see the whites of the eye in demand before we start rushing to build capacity. We don’t build in anticipation of demand, we tend not to do that. We don’t run off business that way.
Steve Smigie: Great, thank you.
Hock Tan: So if you’d ask me about 5G, no, I’m not even there, sorry. Not even there.
Steve Smigie: Got it.
Hock Tan: Thank you.
Operator: Thank you. I would now like to turn the call over to Ashish Saran for closing remarks.
Ashish Saran: Thank you, Operator. Thank you everyone for participating in today’s earnings call. And we look forward to talking to you again when we report our second quarter fiscal year 2015 financial results.